Operator: Good day, ladies and gentlemen. Welcome to the CyberArk Software Fourth-Quarter 2014 Earnings Conference Call. Today's call is being recorded. At this time, I'd like to turn the conference over to Ms. Staci Mortenson. Please go ahead, ma'am. Staci Mortenson.
Staci Mortenson: Thank you. Good afternoon, thank you for joining us today to review CyberArk’s fourth quarter and full year 2014 financial results. With me on the call today are Udi Mokady, Chief Executive Officer and Josh Siegel, Chief Financial Officer. After preliminary remark we will open up the call to a question and answer session. Before we began let me remind you that certain statements made on the call today may be considered forward-looking statements. Which reflects management's best judgment based on currently available information. I refer specifically to the discussion of our expectations and beliefs regarding our projected results of operations for the first quarter and 2015 fiscal year. Our actual results may differ materially from those projected in these forward-looking statements. I direct your attention to the risk factors contained in the final prospectus of our IPO filed with the U.S Securities and Exchange Commission and those reference in today’s press releases. Most of which detail factors which could cause our actual result be materially different from those projected in the forward-looking statements. CyberArk expressly disclaims any obligation or undertaking to release publicly any updates or revisions to any forward looking statements made here. Additionally, non-GAAP financial measures will be discussed in this conference call. Reconciliation for the most directly comparable GAAP financial measures also available in our fourth quarter 2014 earnings press release which can be found at www.cyberark.com in the investor’s relations section. Also please note that a webcast of today's call will be available on our Web site in the investor relations section. With that I would like to turn the call over to our Chief Executive Officer Udi Mokady, Udi?
Udi Mokady: Thanks Staci and good afternoon everyone. I'd like to start by thanking all of you for joining us today 2014 was a great year for CyberArk, capped off by very strong fourth-quarter results, exceeding our guidance across all financial metrics. As we have seen in multiple headlines that [span the globe], privileged accounts continue to be at the center of the all series securities breaches. Hackers are no longer just out to steal information but to get embedded in network, IT system and applications to completely disrupt a company's ability to do business. It has become increasingly clear that privileged account security is the new layer of protection that is critical for organization. And we are seeing an increasing percentage of security budgets being earmarked specifically for solutions like ours. Our result in Q4 and the full year 2014 we enforced that we are addressing a huge opportunity and are clearly the leaders in our space. CyberArk reported total revenue for the fourth quarter of $36.3 million, an 81% increase over Q4, 2013. For the full year 2014 our revenues of $103 million grew 56% over 2013. For the fourth quarter and full year we also reported strong non-GAAP net income of $7.2 million and $15.8 million respectively resulting in non-GAAP net income per diluted share of $0.21 for Q4 and $0.53 for the full year 2014. We continue to see returns on our investments in sales and marketing programs as well as in areas our customers care about the most like product innovation, support and services. We will continue on this path of investing in order to grow and scale. Josh will walk through the financial details in a moment. But I would like to spend a few minutes sharing some of the highlights from the fourth quarter and 2014 and discuss the priorities that the entire company is strategically aligned around for 2015. Security today is no longer just about protecting the perimeter. Instead the focus is clearly shifting to the inside of the organization and towards the new layer of protection that CyberArk provides. This was emphasizing in CyberArk sponsored research report that was released in Q4. This research was conducted in collaboration with some of the industry's most renowned forensic experts who are investigating and remediating breaches around the globe on a daily basis. By looking across their collective experiences we were able to gain significant insights into common patterns in CyberArk attacks. Among the finding, is the fact that privileged accounts are exploited in almost every targeted attack and this is the primary reason why attacks are so damaging and so hard to stop. These accounts empower attackers to access secure networks and databases, destroy breach evidence, avoid detection and established back doors that make it nearly impossible to dislodge them. This research also showed that every Company large and small, across all verticals is a target. Securing privileged accounts represents the new first line of defense in the ongoing cyber battle that companies and governments are fighting. In order to stay ahead of the attackers we remain focused on innovation. Over the last year we introduce version 9 of our privileged accounts securities solutions. Our new SSH Key Manager Product, CyberArk Privileged Threat Analytics 2.0 has extended our platform to all major public, private and hybrid cloud environments. We also make several enhancements to our solutions for Unix/Linux securities, including a new active directory bridging capability addressing a painful security challenge for our customers. We are very pleased with the initial uptick in the new growth engine that we release in the past 12 to 15 months. We have several orders for our new SSH Key Manager Product which was just announced last quarter. This product secures SSH keys which are widely used by IT teams to gain privileged, root access to high value Unix system and is yet another critical target for cyber attackers. As an example a large European financial services company and an existing CyberArk customer selected as a SSH key manager over a point product from another vendor. They value CyberArk's integrated platform approach to privileged account security, this platform enabled them to secure and manage SSH Keys along with other privileged credentials in a single solution. Privileged Threat Analytics continues to be a competitive differentiator and is helping us close business with both existing and new customers. For example in Q4 we added a new government customer and a major retailer, that both purchased Privileged Threat Analytics along with substantial orders of other product in our Privileged Account Security solution. CyberArk has built an effective global go-to market model which we believe will enable us to scale the business. Through a combination of direct sales and channel partners we had a strong year adding new account, bringing the total customer count to approximately 1,800. We also expanded to 40 of the Fortune 100 and 18% of the Global 2000. In addition, we continue to see more than 30% of our existing customer base come back and buy more each year. In 2014 we created our Customer Success Teams, which act as an overly sales resource and focus on expanding customer deployment. We are pleased with their success and we'll continue to grow these teams going forward. We are also pleased with the progress we've made with the channel. We've seeing [indiscernible] contribution across all tiers of our channel model, including advisory firms, system integrators and value added reseller. This reflects the market demand they are seeing from their client as well as the recognition that CyberArk is the clear leader in this space and the preferred vendor to work with to help customers implement this new layer of security. Our channel program remains a critical component of our growth strategy. We are also increasing our investment in our technology alliance partners and believe this is yet another avenue to drive growth. I mentioned a few minutes ago that one of our research findings was that every company is a target, regardless such size, vertical or geographical location and therefore they need to protect privileged account. We saw this clearly in our recent result. We continue to perform well around the globe in 2014 generating approximately 40% of our revenue outside the Americas. Our business is also very diverse across vertical and size of company. Here is a quick look at a wide range of our new business in Q4 alone. In the retail vertical for example we added a large multinational chain with several thousand stores and also added a regional 150 store liquor retailer. In higher education, we closed a small private New England college with a few thousand students and also a large and statewide university system with over 80,000 students. In government, we added one of the 10 large states in the U.S. as well as the government owned television station in Asia. In addition, we saw new business in multiple professional services verticals like legal and financial advisory services, as they are required by their clients to improve their security. We saw mining companies with operations from Alaska to Australia, purchase from CyberArk and of course we continue to see new customers in banking and financial services. I would also like to share a great example with you from a large integrated managed health care company in the U.S. They had been using Enterprise Password Vault departmentally for some time and expanded the scope of their privileged account security initiative to ensure that all of their organization’s sensitive assets are protected by CyberArk. In Q3 of 2014 we placed another large order of Enterprise Password Vault. In Q4 they purchased Privileged Session Manager and are currently considering our Application Identity Manager and On-Demand Privileges Manager product for additional protection. The primary deal driver here was the result of an increased security budget initiated by the company's CEO in response to the target breach and CyberArk was at the top of their list. We exited 2014 with great momentum. In 2015 the entire company is aligned around building on this success. Our strategy at the highest levels remains intact, focused on innovation, scale and execution all while keeping the customer first. We have already the most comprehensive, competitive and effective product in the market. Our focus in 2015 will be on technology innovation that advances the products we have, more effectively stopping the bad guys and further extending our lead in the market. In terms of scale, this is such a greenfield opportunity that we will continue to invest in our go-to market on all front. This includes adding more direct sales headcount, as well as expanding our Customer Success Teams. We will invest training and enabling program for our channel partners, to help them more effective as we work together to open up new market. We will look to leverage the scalability and agility we have built across our R&D organization and applied lessons we have learned across the Company. And as I mentioned we will remain focused on investing in the areas that our customers really care about; R&D, support and services. And finally execution, we have a great team in place and a massive market opportunity which is ours for the taking. The energy and focus of CyberArk has never been greater. With that let me turn it over to Josh.
Josh Siegel: Thanks Udi. I'll start with the more detailed overview of our fourth quarter and then discuss our full year financial performance. I will conclude with some comments on our first quarter and full year 2015 outlook. To start, we generated revenue in the fourth quarter of $36.3 million up 81% year-over-year and ahead of our expectation. License revenue was $24.4 million increasing 95% over the prior year period and representing 67% of total revenue. We continue to benefit from the significant increase the new license sales to both new and existing customers and the overall increasing commitment that they're making to us. Maintenance and professional services revenue was $11.9 million, increasing 57% over the prior year period driven by the high dollar rate of renewals on our growing installed base, which was again over 90% in 2014. Looking at the business geographically in the fourth quarter, we continued to see strength weighted to the America with revenue more than doubling year-over-year to $23.8 or 66% of total revenue. EMEA was $10.6 million or 29% of total renew, a 48% increase year-over-year and Asia Pacific was balanced of $1.9 million in revenue. As I’ve noted in the past, given the size of our economy of our company, we do expect our regional mix to move around on a quarter by quarter basis due to deal sizes and timing. Turing to margin, I will review our results on a GAAP basis and where applicable on a non-GAAP basis. Non-GAAP numbers exclude stock-based compensation for the fourth quarter results and both stock-based compensation and warrant revaluation expenses for the full year since there were no warrants outstanding in the fourth quarter. Please note that a full GAAP to non-GAAP reconciliation can be found in the table of our press release that went out today. Our fourth quarter gross profit was $31.8 million or 88% gross margin compared to $17.5 million or 87% gross margin in the same period of last year. In regards to operating expenses, we continue to make significant investment in order to fully address the considerable market opportunity in front of us. As you have seen from the multiple headlines in news recently, privileged accounts are one of the key areas under attack and we are very focused on driving awareness and adoption of our solution. Throughout 2014 we increased our Direct Sales Force, Customer Success Teams and channel partner relationship. We also increased our investments in production innovation, customer support and marketing. With the fourth quarter R&D expenses grew 46% year-over-year compared to $4.2 million. Sales and marketing expense increased 42% year-over-year compared to $14.8 million and this growth also reflects increased sales and commission payments due to our strong quarterly and annual revenue performance. G&A expenses increased 111% to $3.3 million reflecting also the incremental expenses we’ve begun to incur for operating as a public company. In total, operating expenses for the fourth quarter of 2014 were $22.3 million compared with $14.8 for the fourth quarter of 2013 of 50% increase. For the fourth quarter, we showed strong bottom line results ahead of our expectation driven by leverage from our model as we outperformed on the top line and kept expenses in line with our budget. GAAP operating income was $9.5 million compared to $2.7 million in the fourth quarter of last year. Our non-GAAP operating income was $10 million for the fourth quarter resulting in a non-GAAP operating margin of 28%. This compared to non-GAAP operating income of $2.8 million and a 14% margin in the prior year period. Non-GAAP operating income for fourth quarter of 2014 excludes $547,000 of stock-based compensation expense compared with the $117,000 in the prior year period. Net income on a GAAP basis was $6.7 million for the fourth quarter of 2014 compared to $1.4 million for the fourth quarter of 2013. GAAP net income per diluted share was $0.19 compared to $0.01 in the fourth quarter of 2013; that’s based on 34.7 million and 10.4 million weighted average diluted shares respectively. On a non-GAAP basis, our net income was $7.2 million for the fourth quarter of 2014 compared to $2.2 million the prior year. Non-GAAP net income per diluted share was $0.21 compared to $0.08 in the fourth quarter of 2013 based on 34.7 million and 27 million weighted average diluted shares respectively. During the quarter, we had financial expenses of $555,000 primarily due to foreign exchange losses, very much in line with the expense in the same period last year resulting from FX and warrant reevaluation expenses combined. As you know foreign exchange gains and losses can fluctuate and our guidance does not considered any additional potential impact to financial and other income and expenses associated with the foreign exchange gains or losses, as we do not try to estimate future movements in foreign currency rates. Now let me briefly summarize our results for the year, the full year 2014, we generated total revenue of $103 million up 56% from 2013. The licensed revenue portion was 61.3 million increasing 58% year-over-year approximately 60% of the licensed revenue came from new customers with the remaining 40% generated by existing customers who increased their license coverage or added on additional software products to their CyberArk platform. Maintenance and professional services revenue was $41.7 million increasing 53% over the prior year. The Americas contributed 62% of revenue in 2014 and EMEA represented 32% with the balance coming from the Asia Pacific region. Through a combination of direct and channel partners we ended the year with approximately 1,800 customers. Both new and existing customers are making increase in commitments to CyberArk and during the full year 2014 we closed 270 deals greater than $100,000 that’s compared to 154 in 2013. Our business continues to be diverse across a wide set of vertical. For the full year 2014 financial services continues to be our largest vertical at 41% of booking. But we also had seven other verticals contribute greater than 5% in the fourth quarter we saw a particular strengthening in the manufacturing, retail and energy verticals driven by the meaningful demand trend that Udi just discussed before. Our non-GAAP operating income was $22 million of 2014 resulting in margin of 21% compare to $9.5 million or 14% margin in 2013. On a non-GAAP basis our net income was $15.8 million in 2014 compared to $8.5 in 2013. Non-GAAP net income per diluted share was $0.53 compared to $0.31 in 2013 based on 29.7 million and 27.3 million weighted average diluted shares respectively. Turning to our balance sheet as of December 31 we had a $177.2 million in cash, cash equivalent and short term deposit compared with 65.4 million as of December 31, 2013. In 2014 we generated $23.8 million in cash flow from operation compared with $28.2 million in 2013. We ended 2014 with 430 employees worldwide compared with 317 in 2013 of which 195 are in sales and marketing compare to 135 in sales and marketing at the end of 2013. Now moving to guidance for the first quarter of 2015 we expect total revenue of $25.5 million to $26.5 million. We expect non-GAAP operating income to range between $1.6 million to $2.5 million and non-GAAP net income per diluted share of $0.46. This assumes 34.7 million weighted average diluted shares. For the full year 2015 we expect total revenue in the range of $127 million to $130 million or growth of approximately 25% at the midpoint. We expect non-GAAP operating income to be in the range of $11 million to $12.5 million and non-GAAP net income per diluted share of $0.24 to $0.27. This assumes 35.1 million weighted average diluted shares. Our guidance reflects the strong demand for our solutions, as privileged accounts are being increasingly -- being targeted for attack. Typical with most enterprise software companies we usually experience a sequential revenue decline into the first quarter and moderate sequential growth into the second and third quarter. And with fourth quarter as our largest revenue quarter of the year. Due to our large addressable market and the significant opportunity in front of us we expect to accelerate our investments in R&D and innovation and in sales and marketing to drive greater awareness and adoption of our solutions. From a hiring perspective we expect headcount increases across all areas, but to be more front loaded in the first half of the year with the greatest expense impact in Q2 as we start to carry more of a full run rate of these new hires. In closing, this was a great fourth quarter and year for CyberArk. We are already in full pursued for our 2015 objective and believe we are extremely well positioned to win in our marketplace. I will now turn the call over to the operator for Q&A. Operator?
Operator: [Operator Instruction] We will hear first from Sterling Auty with JP Morgan.
Ken Talanian: Hi. This is actually Ken Talanian in for Sterling. I was wondering -- you gave the figure on new customer versus existing customer license revenue for the full year and I was wondering what that was in the fourth quarter.
Josh Siegel: We weren’t breaking it out on a quarter by quarter basis. I think -- what we can say is that we saw a lot of new business coming in the fourth quarter and I think Udi alluded to that in his part. But we're only providing the actual information for the annual basis which was 60% of licenses coming from new customers and 40% coming from existing customers.
Ken Talanian: Okay. And the growth in the fourth quarter was way ahead of our expectations -- the Street expectations. And I was just curious -- in light of that, why is the guide for top-line 2015 only 23% to 26%?
Udi Mokady: This is Udi. First of all yes, we were very pleased with our Q4 and 2014 results and we believe we provide a very strong guide for the year 2015 signaling strong demand for our solutions and we believe that this demand will continue. Now remember, we over achieving our Q4 expectations therefore are creating a very aggressive compare for the second half. We take a multi-quarter approach; Josh will talk about the bonds up approach we take to our guidance as we take all of the factors there.
Josh Siegel: Yes, just to add to that. Look, the way we look at our guidance we look at it really from three components, the first one is, we look at our recurring revenue stream as I pointed out in my remarks again in 2014 we had over 90% of our maintenance contract renewal and that gives us the very strong basis for visibility and to where that stream is going into 2015. We also take a look at our existing customer base and we've seen historically that over 30% of our customers are coming back each year and either buying new licenses or buying new products from CyberArk to broaden out their platform. So we have pretty good visibility when we look at our existing customer base where that business is going to take us into the following year. And then the third component is the group of our new customers and with that we obviously, we're going into 2015 with the robust pipeline. We feel very confident about the aggressive guidance that we've provided for the first quarter, but we should remember that our sales cycle as we've said before is typically around six to nine months. So, when we think about -- as we think about the second half of the year we start to really get full visibility into that pipeline as we move from Q1 into Q2. And as Udi mentioned before we had great Q3 and Q4 quarters so we will have a tough compare there and we feel very confident as we go into 2015 with our pipeline and we look forward to seeing our that pipeline progresses to be able to point to the second half of the year as we go along.
Operator: Thank you. Next question comes from Karl Keirstead with Deutsche Bank.
Unidentified Analyst: Hi, guys this is actually -- on behalf of Karl. Thanks for taking my question. I have two questions. One is, last call you had some benefit from the early recognition of the deferred revenues in the income statement, was there anything of that sort of in this quarter?
Josh Siegel: No, there was no real material license impact coming in from deferred revenues. As I've talked about in the past there is always some new licenses going into deferred revenues, there is some coming out but there was no -- anything significant to remark about here.
Unidentified Analyst: But I think you mentioned in last quarter that there was some balance that is left on the balance sheet which would come off for 4Q.
Josh Siegel: Yes. Like I said every quarter there is always some transactions that may roll in and there is always some that roll out but this would -- very much the revenue that we saw in the fourth quarter was revenue that was fundamental revenue coming in from new and existing customers.
Unidentified Analyst: There is no material early recognition of your deferred revenues like in 3Q, this is all revenues that were generated and recognized in 4Q?
Josh Siegel: Yes.
Unidentified Analyst: Got it. And just one follow up, if I look at the DSOs, they've been usually trending down this quarter saw a slight uptick compared to what you had in the previous quarters. Any color on the linearity of the quarter, was the quarter more back end loaded or this is just a function of the quarter bringing so huge that collections took longer than usual?
Josh Siegel: No, I think actually if you look at kind of the Q2 and Q3 DSOs, particularly the Q3 DSO and we've talked about it in the last quarter release, it was affected by the fact that there was that big deferred revenue pieces that was recognized in the third quarter and that kind of created a bit of an unnaturally low DSO. When we look at our business we kind of see our sweet spot -- our natural DSO range should be mid-40s to mid-50s.
Operator: Thank you. We'll go to Saket Kalia with Barclays Capital.
Saket Kalia : Hi, guys. Thanks for taking my questions here. Udi, can you just maybe talk about your win rates in the quarter, just broadly for 2014 versus some of your larger competitors, especially as privileged account security becomes a little bit better-known out there in the market? And then how have you sort of thought about them directionally in your 2015 guide?
Udi Mokady: Saket, thank you. First of all we won't put a number on it but I would say that we are invited into most of the deals; many of the deals are part of our organic regeneration efforts as a market leader that has been investing in this space. When we do get new competitive situations we actually feel that 2014 was even stronger than our competitive edge than ever before with the fact that we have the new -- the Privileged Threat Analytics and the newly-released SSH key manager has really unique differentiators and CyberArk is the vendor with the broadest product offering out there in competition. I alluded to it my notes because I think that is also very dear to CyberArk DNA to continue to invest in the existing product set and in new growth engines to always have that edge and always with things that really our customers care about and make us as a winner in the Company select.
Saket Kalia: That's great -- actually a great dovetail into my follow-up, which is can you just talk a little bit about that SSH Key product? I know it's early -- just a quarter out. But what sort of average deal size do you think you could command there? And do you think that's a product that's going to appeal to most of your customer base or maybe a subset of it? Maybe just talk a little bit about the opportunity with that product specifically.
Udi Mokady: This product is very well integrated into the CyberArk Privileged Account Security platform because it addresses another key attack vertical that in the end of the day the attacker tries to get root access to systems. This one is root access to Unix and Linux using leveraging the SSH key, so basically it’s applicable to any enterprise that has Unix and Linux in its environment and so there is an opportunity to eventually behave like Enterprise Password Vault, classically behave for shared accounts and root accounts which of course has a much stronger head start in the market and of course our Enterprise Password Vault applies to all types of systems, so this will -- overtime we will probably see similar deal sizes and again with enterprise with a Unix/Linux footprint.
Operator: We’ll continue on to Rick Sherlund with Nomura.
Rick Sherlund: Thanks, guys, and great quarter. I wonder if you could comment about sales cycles. FireEye yesterday said that they think they've kind of crossed the chasm. There's far less proof of concepts and the sales cycles are kind of quickening now because of the growing awareness of cyber security. Is that rippling through -- affecting you guys as well?
Udi Mokady: We’re definitely seeing much more awareness in the market and the de-education phase in our sales process is decreasing and especially in the U.S. and in Western Europe. I think in other geographies we would probably see more typical lead of education in the sales cycle. What was very unique and exciting that at least we see in Q4 is that the companies are viewing this as a much more of strategic and not just compliance driven and they have to have as part of the their security infrastructure and very often we came into conversation not needing to educate them about at all and they want this new layer of security. So we’re yet to put in a number of what the new sales cycle is. There is definitely growing awareness. There is also growing awareness of CyberArk. We have done some momentum up of the IPO that we started getting is getting mind share and confidence with more and more customers.
Rick Sherlund: Your expansion of sales capacity -- is that kind of proportional to the revenue growth that we're seeing?
Josh Siegel: Yes, I mean with regard to that before I’ll answer that it second Rick, but I wanted to just follow onto with regard to the sales cycle, I think that we not necessarily be shortening of our sales cycle, although for sure we're seeing a lot less education having to go onto it, but what we’re seeing are deals that have been in our pipelines during our typical sales cycle come to closure as all of sudden in a more aggressive fashion. So the deals they have been on a pipeline longer even than 6 to 9 months closing more rapidly, but not necessarily they begin end necessarily closing. In terms of the growth of the sales relative to our teams, so as you saw we actually grew our sales and marketing teams roughly mid-40s, we went from 135 to 195 people and which was just with bit below what our actual annual growth rate was for the year and I think part of that was we had excellent execution by our sales team particularly as we moved into the second half of the year and a lot of the new recruits who came on in the first half of the year were at full steam and also as we’ve talked about at couple of times both Udi and myself, we’re continuing to invest in our channel relationships and we see leverage coming out of that as well.
Operator: Thank you. We’ll go to Jonathan Ho with William Blair.
Jonathan Ho: Hi, guys. Congratulations on the strong quarter. I just wanted to build on that prior point. And just relative to the guidance that you saw for 4Q, can you talk about how the demand trends materialized, given that level of out-performance? Did you see sort of short-term reactionary buying or is this, in your view, a bit more of a sustained demand trend that you're seeing going forward?
Udi Mokady: I would say that definitely with regards to Q4 we also -- as Josh alluded we saw this acceleration at the last phase of the pipeline because of the increased awareness of privileged account security are such a major attack, but there was all the things that were happening. And so that acceleration of thing s are in the pipeline and also increasing scope we had deals go through the pipe, we’re initially -- we're perhaps taking any more siloed approach or departmental approach, and as they were taking more of a cyber-security approach increase the scope of that and the type of line items that they were taking from CyberArk. And of course with Q4 there was also an end of year money coming our way and not on other project.
Jonathan Ho: Got it. And then just relative to that expectation, were there any deals that you saw pulled forward or any types of shifts left to right that were notable, just given the level of out-performance?
Udi Mokady: As Josh mentioned we saw a very strong execution against that deal pipeline were we of course over achieve on the close rate of those deals. But just as we saw deals being close and we also saw entrance into the pipeline that increase awareness is also feeding the pipe itself the earlier part of the sales cycle. So yes something definitely pulled earlier but also a growing amount of new leads.
Jonathan Ho: Got it. And then just one last one on currency. Does that impact your quarter much at all? I know you gave sort of the currency impact on the F/X, but in terms of on the sales side, did that any impact in terms of the deal sizes or potentially just in terms of the translation?
Udi Mokady: That’s a great question. As I pointed we do about we did about third of the business coming out of Europe of which sell really multiple currencies there is a piece that’s still in U.S dollar and there is piece in sterling and then there probably half of that business coming out in euro. So clearly there was some deal size shrinkage in dollar terms because of the Euro as it moved a bit in the end of the year. But not material on clearly as you see we executed, we are not to be able to over compensate for any of that impact. As we think about kind of going forward in terms of the growth probably would have an impact of 2% to 3% as what we think about for concerns about the Europe.
Operator: [Operator Instruction] And we'll go to Srini Nandury with WR Hambrecht and Summit Research.
Jonathan Adelman: Hi, guys. This is Jonathan Adelman on the call for Srini. We've got a couple calls going on right now. But I actually want to focus a little bit on new versus existing customers. So Udi, you talked a little bit how existing customers have been adding new products and you guys have roughly 40% of revenues that come in from existing customers. Can you just generally comment on your customer penetration? How many customers are using how many products? Thank you.
Udi Mokady: So I couldn’t hear the end of the question.
Jonathan Adelman: Yes. Generally speaking, do you see your customers using multiple products now and could you maybe quantify that a bit? Or do you see customers really just adding more of the enterprise [indiscernible] licenses on when they're coming back for existing licenses?
Udi Mokady: I think we've alluded earlier and in the past that the existing customer base represents an opportunity of itself that many of our customers are using one or two of the products. When we see up sell and that I think was very important about the Customer Success Team is actually it include additional products from the products that they purchased, so additional enterprise Password Vault or additional Privileged SSH manager but also cross sell though customers adopting our Application Identity Manager or On-Demand Privileged Manager our new SSH Key. So it’s really a mix that includes add on and cross sell and we really train the team and also our channels partners to execute on both of those fronts as a major opportunity for us.
Jonathan Adelman: Okay. Great. Thank you. And also, of the $100K+ deals that you guys did this year, were any of them driven by the SSH Key Manager product or the Threat Analytics 2.0, given that your deals grew about 75% year over year when it comes to deals right about $100,000?
Udi Mokady: While I think certainly they were several of those deals that were driven by the fact that either PTA, Privileged To Analytics or SSH Keys were part of the transaction. But they were also driven frequently by that when customers come to CyberArk even for their enterprise password vault. It's because of the platform approach that we’re able to offer them and they come and they choose our Enterprise Password Vault knowing that as they build it out, that we’ll also be able to add either the SSH Key piece and Privileged Threat Analytics to be able to round up the platform. So we believe actually a very impactful for closing all of our deals and specifically we saw it being significant in some of the largest deal that over 100k.
Operator: Thank you. There is no additional question. I'd like to turn the conference back over to Udi for any additional or closing remarks.
Udi Mokady: Thank you. As we've just said 2014 was an incredible year for CyberArk. I want to thank our passionate and dedicated employees, our channel partners and of course our customers for making it happen. And again thank you, all of you, for joining us tonight.
Operator: Thank you. And again ladies and gentlemen, that does conclude today's conference. Thank you all again for your participation.